Operator: Good day ladies and gentlemen and welcome to the third quarter 2008 Weatherford International earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s conference, Mr. Bernard Duroc-Danner, Chairman, President and CEO; please proceed sir.
Bernard Duroc-Danner : Good morning everyone, as usual Andy will read our prepared comments and then we’ll take Q&A.
Andrew Becnel: Good morning, for our third quarter of 2008, we report fully diluted earnings of $0.55 per share, up 28% from the $0.43 earned in Q2 and the year ago quarter. On a year-to-date basis, earnings per share are up 25% compared to last year. Our sequential improvement of $0.12 represents the largest quarter-on-quarter growth posted by Weatherford in the current up cycle. The field contributed $0.14 of incremental earnings while non-operational items took back $0.02. Increases in R&D and minority interest expense as well as a higher tax rate reduced earnings by $0.02. Our effective rate for the quarter was 17.3% consistent with last quarter’s guidance. Operating performance, on a consolidated basis revenue grew $312 million sequentially or 14%, with the growth split relatively evenly between North America and the international markets. On a year-to-date basis, revenue was up more then $1.3 billion or 24% over 2007 levels against a 7% increase in average rig count globally. International markets generated 70% of this growth. Our year-to-date growth rate in the international markets was 34% versus an 8% increase in rig count, or a bit over four times rig count growth. Our international performance was virtually identical to last year’s in terms of growth percentages. Consolidated EBIT before corporate and R&D was $631 million, up $119 million sequentially with operating margins at 24.8%. Incremental margins were 38%. Year-to-date regional EBIT was up $326 million or 24% on incrementals of 25%. International regions accounted for 78% of this improvement. At 27%, year-to-date incrementals outside North America are tracking as expected. Geographic performance, financial performance within our four geographic regions was as follows: North America 46% of total revenue. Revenue grew $167 million sequentially or 17%. Delays in offshore services due to hurricanes hurt the quarter’s revenue by approximately $30 million. Average rig count for the quarter improved by 382 rigs compared to Q2 with 70% of the improvement taking place in Canada, following an exceptionally low of activity during Q2. EBIT was $313 million, up $89 million sequentially. Margins were 26.5% on incrementals of 53%. A strong recovery in Canada and incremental gains in US land helped to offset the hurricanes’ impact. On a year-to-date basis, North American revenue is up $398 million or 14% compared to the first three quarters of 2007, while average rig count is up 7% over these two periods. EBIT was up $72 million or 10% of this same period. Sequential revenue grew across all product lines other then well construction which was most impacted by the hurricanes. Middle East/North Africa/Asia Pacific 25% of total revenue, revenue rose $82 million or 15% sequentially against a 2% increase in rig count. EBIT was $146 million, up $16 million sequentially. Margins at 23% were down 50 basis points sequentially. Compared to the same quarter of 2007 revenue was up 40% against the backdrop of the 7% rig count increase. Operating margins were up 20 basis points. On a year-to-date basis, revenue increased 33% or $430 million and EBIT margins climbed 110 basis points on incrementals of 26%. EBIT was up 40% over this same period. Countries that showed particular strength sequentially included Algeria, Libya, Saudi Arabia, India, China, and Malaysia. Directional and under balanced, wire line, drilling tools, artificial lift and integrated drilling all posted substantial improvements. Europe/CIS/West Africa 16% of total revenue, revenue grew $19 million or 5% sequentially against a flat rig count. EBIT was $102 million, up $3 million. Margins were 25%, a 40 basis points decrease sequentially on incrementals of 17%. Revenue was up 33% compared to Q3 of 2007 and up 36% on a year-to-date basis. Rig count increase was 17%. Year-to-date incrementals were 30% producing EBIT up 45%. Declines in the North Sea due to reduced activity and repair and maintenance were more then offset by improvements in Central Europe, Russia, and Kazakhstan. Directional and under balanced, wire line, and stimulation and chemicals exhibited the most progress offset by delays on product shipments at a well construction due to the hurricanes. Latin America 13% of total revenue, revenue rose $43 million or 16% sequentially on the back of a 1% increase in rig count. EBIT was $70 million up $11 million sequentially with margins at 22.1% and incrementals of 26%. Compared to Q3 of last year revenue was up more than $100 million or 47% and operating margins were up 80 basis points. On a year-to-date basis, revenue was 31% and incrementals were 25% resulting in EBIT up 35%. The impact of pass through revenue this quarter was diminimous. Mexico, Brazil, Argentina, and Venezuela all posted extremely strong improvements. Revenue grew across all product lines with directional and under balanced, integrated drilling and completions standing out as the top performers. Cash and capital, cash flow during Q3 were generated EBITDA of $736 million, up 26% over the year ago quarter, with D&A running at $187 million. After deducting interest expense and cash taxes operating cash flow was $356 million for the quarter, a 33% increase over Q3 of last year. Operating working capital, AR, plus inventory less AP consumed $274 million of cash with inventories up $109 million. This includes $39 million of working capital increases in connection with acquisitions during the quarter. At the end of the quarter, we stood at 129 days working capital, an improvement of seven days compared to the prior quarter. Our goal remains 111 days working capital by year-end. We’re nearing completion of significant working capital improvement project commenced in Q1 of this year for North America. With the help of outside consultants, we evaluated our customer and our cash processes from order placement through collections. Based on this evaluation we begun to implement process changes and have commenced employee training. We expect the implementation to conclude in Q2 of next year. As part of this improvement plan, we recently reviewed and reset credit limits with customers, which we will continue to do on a quarterly basis moving forward as a matter of policy. We shared our learnings in North America with international regions on a real time basis in an effort to develop best practices that are customized to each particular market and to better prepare them for process changes in their regions during 2009. We believe that this effort will yield substantial returns during 2009 and beyond in terms of cash flow improvement. Capital expenditures, CapEx for the quarter was $652 million net of lost and hold revenue. We received large scheduled deliveries of drilling equipment this quarter. The completion of our 2008 CapEx plan in Q4 will enable us to execute in full our 2009 growth plans. We project total CapEx for 2008 at approximately $2.2 billion.  Capital structure and liquidity, as of September 30 our ratio of net debt to net capitalization stood at 38.7%, with total net debt at $5.3 billion. Cash balances totaled $337 million at quarter-end. We have a very favorable debt structure especially in today’s credit environment. Our $4.5 billion of long-term debt carries a weighted average maturity of 13 years and a weighted average cost of 6.13%. The first maturity is November 2011 in the amount of $350 million. We have no other principal maturities before this. Although we expect to generate free cash flow in 2009 its worth noting that we have over $1.5 billion of liquidity in the form of cash on hand plus untapped borrowing capacity under committed lending facilities. Our syndicated revolver expires in May 2011. I don’t have any updates this quarter to the guidance previously provided on non-operational line items. I will now hand the call over to Bernard, who will cover our operational outlook.
Bernard Duroc-Danner : Summing up the forces in motion, Q3 saw seven moving parts. One, good performance all around; the company crossed the $10 billion revenue mark on an annualized basis for the first time in its history. Earnings at $0.55 were the highest quarterly performance in the company’s history. EBITDA came in as an annualized $2.9 billion level; also a record. Two, Hurricane Ike penalized the quarter by the measurable $0.3.5. That affected the US and international product sales. Three, strength across the board in Canada, both volume and margin on the back of the first year-on-year growth quarter in two years. Four the US was also very strong, both volume and margin on the back of the technology traction, directional in particular. Five, standout performance in Middle East/Asia and Latin America growth. Good performance in Europe/South Africa/CIS, top line in light of [inaudible] lower part sales. Overall, we have strong incrementals of 38% sequentially; [NAM] however outshined the 21% incrementals in the international segment. Both Eastern hemisphere and Latin America went through many active start-ups throughout the quarter, which penalized incrementals. This wasn’t a surprise; it was in the range of what we expected. To date we are mobilizing fast and well in both hemispheres. Seven, acceleration of bookings in the Eastern hemisphere and Latin America, our highest levels to date. Year-on-year comparisons coalesced around a 30% numbers. Q3 2007 on Q3 2008, we grew top line by 29%, operating income by 30%, operating cash flow by 33% and employee count by 31%. Year-on-year in the Eastern hemisphere and Latin America grew by 37% and 47% respectively for a combined international growth of 39%. Sequential growth was 11% Eastern hemisphere and 16% Latin America for a combined international growth of 12%. Product lines, I will take you directly to the synthesis as to the details of the individual product lines. All product lines grew with no exceptions. Well construction was the laggard, near flat. Substantial portion of its manufacturing base was shut down for much of September by Ike. Deliveries at delayed to Q4. You will find most of the regional impact in the US and in the European, West Africa, CIS numbers. The three fastest growing product lines were wire line, directional then under balanced and artificial lift. All three had outstanding quarters. Wire line built a large backlog of new contracts, making its prognosis even stronger then the trading results. Growth is driven by technology both conveyance and measurement. Directional and under balance are benefiting from two inter related factors, reservoir drainage implies in ever increasing rates the use of horizontal architecture and controlled pressure drilling. This is particularly powerful on land applications as the ratio of directional to vertical wells catches up with offshore. Second, bundled integrated contracts pull through, directional and under balanced. As this part of our backlog gets started up, expect continued performance improvements from drilling services. Finally artificial lift has the largest backlog in its history and is showing strength in all of its segments. Much of our growth results from the combination of infrastructure developments, equipment additions and technology investments. Employees, by the end of the quarter we had 46,659 employees. Year-to-date the employee count increased by 4,507 or just under 11%, and 8,793 or 23% in the first half alone. Year-on-year we added 11,160 employees or 31.4% as per the comment above. Cost and pricing, cost pressures are moderating. Taking an overall view of our operations we are seeing a flattening of our average labor cost system wide particularly internationally. Structural factors are at work in those markets. We expect the same to occur in NAM albeit for entirely different reasons. Currently raw material costs are decreasing across the board where the different steel grades, non-magnetic alloys, miscellaneous metals, fuel, diesel, [inaudible] and chemical feed stock. As an example and one of the most meaningful finished steel price is already down 15%. Pricing in the US and Canada are leveling with no further discernable movement up or down, international pricing remains strong. Incrementals, on a forward basis we see two conflicting cross current. NAM incrementals will deteriorate given their market’s prognosis. Conversely 30% incremental of the [intangible] segment should be [inaudible] of the uptick. For the first nine months of the year, incrementals for the East, both the Middle East, North Africa and Europe, South Africa, CIS combined were close to the targeted 30%. As the size of our international business grows, the absorption of start up mobilization costs will be increasingly easy and the declining percentage of a growing denominator. This applies to both hemispheres. As a side comment, the issue of pass through revenues where no margin will not be material factor on whether the incrementals in 2009. The only case in point company wide is Chicontepec at roughly $400 million in procurement revenues in 2009. This should represent circa 3% on the company’s top line in 2009, meaning it is marginal. Important events and acquisition activity, we invested late in the quarter $521 million in acquisitions, International Logging Inc. was the largest setting [inaudible] aside, the remainder was technology and equipment purchases, some of which were from distressed sellers. A word about our drilling projects, as you know by Q1 2009 we expect to have nine bundled integrated drilling projects underway, eight in the East and one in Mexico. In the East four of the projects are now running, albeit not at full scale, two additional projects will be started up in Q4 and the last two will be started up in Q1. The Eastern hemisphere projects will run in total of 37 rigs and two coiled tubing rig units, 24 of the land rigs and both of coiled tubing rig units are Weatherford owned designed. The rigs are on average mid to heavy equipment. In all cases the rigs will run together with our [down hole] processing services. The average contracted life for the Eastern hemisphere projects is between three and four years. In the Western Hemisphere, there is only one integrated project and that is Chicontepec in Mexico. The contract was signed on June 24, mobilization commenced on July 1st. Four months after contract signing we have eight rigs drilling and five rigs waiting for site preparation to commence drilling. Site preparation isn’t our responsibility. By year-end, we will have the entire 20-rig fleet deployed. Directional, under balanced, stimulation, wire line, and [completion] equipment are on site and operational. All of the above is at or ahead what we told you we would do last quarter. We opened during Q3 our new headquarter base in [Puerto Rico] which is a 50,000 square feet facility for a assembly, calibration, testing, repair and maintenance. In the course of Q4, we’ll open our second base, which is within the field. That base will be larger and covers a 100-acre site. By way of background, we had essentially no infrastructure on or around Chicontepec or Puerto Rico. Lastly during the quarter we were awarded by Paramex in excess of $100 million of incremental work related to the project. What is the most critical for us in Chicontepec is to establish a highly efficient drilling operation with a fraction of the drilling times currently modeled by our client. This can be achieved with the combination of time, training, experience, and selective technology. The reward is the opportunity to run in Mexico for years to come an operation larger then our entire business in Canada and provide high returns on the $300 million capital base. In our judgment Chicontepec is a reservoir development project which from a client standpoint is urgently needed, important and low risk. Should the overall funding be lacking we suspect the gas projects in the North will be more at risk. Forward views, although it’s too early to be definitive our numbers yet, we anticipate significant pullback in drilling activity in both the US and Canada. The pullback will be in the gas segment. The oil segment will be relatively immune. We are operationally ready to adjust quickly and efficiently our operating level. We just finished two years of severe contraction in Canada where for legacy reasons we are much more present then our peers. We reorganized Canada in record time to add both cost structure and asset base but was a 25% lower level of activity. The reorganization was highly successful and in part to be credited for this quarter’s NAM performance. We know more than just growth; we also know how to restructure operations fast and efficiently when markets pull back. Four comments on international segments, we don’t expect material change in 2009 market prognosis. The activity increase has very long lead times and for the most part NOC IOC backing. It is urgently needed to sustain production rates. Unless the price of crude oil falls materially below its current trading levels, and for an extended period of time, we believe that circa 10% anticipated rig count and rigless growth are reliable. At worse, there will be a shift to the right of some projects meaning the delay from 2009 into 2010. This wouldn’t be very dramatic or unusual even in the good economic environment international projects get habitually delayed. Two, Weatherford’s 2009 contracted business has no material exposure to exploration. Exploration strikes us as the most vulnerable client expenditure. Three, echoing the view of one of our larger peers, we see overwhelming empirical evidence that suggests the present level of drilling and production enhancement commitments are not sufficient to rest accelerating decline rates in oil let alone secure the targeted one plus million barrels a day capacity increase per annum industry plans on. In a recession in the West and sluggish growth in fast developing countries, it isn’t a relevant problem. In a world of recovery and stronger [inaudible] growth this isn’t a healthy or sustainable situation. Typically in manufacturing one would define 95% operating rates as full capacities. Aside from transitory cyclical downturns the world is running at an oil production rate in excess of 95%. The notion of running the world’s oil and gas supply lines, like a single location manufacturing facility performing reliably at full capacity and able to modulate that capacity at will is unrealistic, unreasonable, and irresponsible. When this downturn will turn how will we accommodate the need for higher production levels particularly for oil. Our Industries response time thinks and acts in multiple years, not a few quarters. Four there is no reason at this stage to anticipate anything less then a very stout 2009 international growth at Weatherford comparable to the two prior years. Only sustained collapse in the price of oil can change that. Direction, throughout 2008 and most specifically Q2 and Q3 we spent CapEx, working capital and operating expense to finance and professional execute on 2009 international growth and lay the seeds for continued growth cycle in 2010 through 2012. The company by choice is on a high organic growth trajectory and has been since 2005. Growth is who we are and what we do. The implication of course has been running with negative free cash flow from operations due to the rate of growth and the correlated asset requirements. Because of who we are and what we do we also pride ourselves on acting quickly and unambiguously. We will deliver high growth in 2009 from our international segments at or near the anticipated rate and in this respect in Q4 we’ll finish funding our 2008 CapEx plan. We’ll however moderate the rate and scale the CapEx and related expenditures for 2009. Our original intent was to commit about $2.4 billion in CapEx for 2009 or similar to the 2008 level. The 2009 CapEx is the backbone to 2010 growth. Although the 2009 commitment level isn’t finalized yet, it will be less. Most likely the 2009 CapEx numbers will be in a $1.5 billion to $2 billion range as our base case. We are monitoring CapEx commitments carefully. We can adjust expenditures real time as required by the economic environment. Three implications, we see large realization opportunities that may well mitigate the lower CapEx intensity. This is true in NAM which is an obvious opportunity but also within the international infrastructure. We believe our rate of growth internationally will still be very strong in 2010. The forward operating strain and associated risks will be lower. This will be the opportunity for our operations to improve efficiencies. And then lastly our original plan called for breakeven free cash flow in 2009 followed by large free cash flow generation in 2010. With the adjustment in our near-term plans we will be free cash flow positive in 2009 most likely circa $500 million or higher. With that I will turn the call over to you for questions.
Operator: (Operator Instructions) Your first question comes from the line of William Herbert - Simmons & Company International
William Herbert - Simmons & Company International: It doesn’t sound like you are tempering your international growth assumptions for 2009, how much of your anticipated growth today for 2009 is locked in?
Bernard Duroc-Danner : Two definitions, one is I things I think are very reliable and things that may slip. If you look at what is very reliable you will end up somewhere above 80% of what we thought we would do in 2009 and then the rest actually goes above total dollars we’re expecting to get in 2009 and for good reason because some of it was going to slip anyway. So we’re really playing between 80% to 120% if you will of what we thought we could get. So that’s your high/low.
William Herbert - Simmons & Company International: With regard the small portion that is slipping where is it slipping?
Bernard Duroc-Danner : We don’t know yet. It always slips hence the fact we try to book a bit more then we think we’re going to ultimately do because stuff always ends up being delayed and in this market may get delayed a bit more, I don’t know where. I don’t want to guess because I would just be guessing.
William Herbert - Simmons & Company International: As we head into the winter season with respect to Canada, sounds like you’re pretty comfortable with regard to the oil related projects, walk us through your prognosis for Canada as a general proposition for 2009?
Bernard Duroc-Danner : We actually see a year on year decline on the order of about 10% in Canada year on year, this is a guess again. Primarily out of the gas segments. So you’ll say what about heavy oil? Light oil is clear, light oil is not a big market in Canada. One thing one has to remember about heavy oil is you’ve got two segments, you’ve got the mining segment which is one we are not concerned with and that one around $70 for WTI is vulnerable. However the [SAG D] or the drill if you will, heavy oil segment is a little bit different insofar as its biggest cost component is gas and in generation and then a derivative of oil as in [inaudible] pipeline. That’s the biggest cost component. So you can understand as a national [hedge] from a cost standpoint when you’re a heavy oil producer as the price of oil and the price of gas falls, that cost structure falls. The revenues fall also. But again it’s the largest cost component they have. So looking at that our feeling is that the [SAG D] segment of heavy oil in Canada at the present level of pricing of oil is [fixed].
William Herbert - Simmons & Company International: So SAG D safe and overall rig count down about 10%.
Bernard Duroc-Danner : A guess.
Operator: Your next question comes from the line of Ole Slorer - Morgan Stanley
Ole Slorer - Morgan Stanley: Latin American margins increased sequentially this quarter, could you talk us through what triggered that increase in margins?
Bernard Duroc-Danner : Performance predominantly out of Argentina, Brazil, Columbia, little bit Venezuela and then Mexico. Mexico did not hurt. It was a multiplicity of places, not just one.
Ole Slorer - Morgan Stanley: If you look at risks let’s say of funding, if you take Mexico specifically, you highlighted that gas projects are more at risk then oil projects. Are you involved in any of the gas projects and what do you specifically think will happen there to the rig count or the jack up rig count?
Bernard Duroc-Danner : We’re not involved in the gas projects but that’s not why I singled them out nor do I think they have anything to fear today. But as the credit markets spread the notion that there might be some liquidity problems all over the world, then the question becomes can certain clients perform the full scope of the plans they had. So it’s a theoretical question. If you ask that question with respect to Mexico it is not for me to answer. It’s obviously for the client to answer. If I was to guess I would think of all the products they have in the south, offshore, the north and Chicontepec in the middle if you will, probably the most vulnerable would be the north insofar as gas is of less value then oil from a client standpoint.
Ole Slorer - Morgan Stanley: Anything to update us on the Chicontepec with respect to extensions of the contract?
Bernard Duroc-Danner : Its way too early for that. I think its progressing well operationally and I think it’s too early to tell whether we’ll do well for the client or not. We’re certainly trying.
Ole Slorer - Morgan Stanley: There was just no speculation earlier on maybe perforating or lift could be part of the deal.
Bernard Duroc-Danner : We got some additional commitments in excess of $100 million covering perforation and artificial lift which is a good thing.
Ole Slorer - Morgan Stanley: When was this?
Bernard Duroc-Danner : In the past two weeks.
Ole Slorer - Morgan Stanley: If you look at your flexibility in terms of taking the CapEx down or taking it back up to the old level relative to free cash flow, can you talk about how you intend to go about monitoring what will take it to one end of that spectrum versus the other?
Andrew Becnel: Obviously the first place we look is North America which didn’t have an awful lot allocated to it to begin with. This particular area is unconventional, is deep water, etc. We always monitor the CapEx on a real time basis. We have a very disciplined process on and around it and ear mark it and we vet each incremental dollar that we’re going to spend quite thoroughly amongst product lines as well as regional operations and all the way through finance. We’ll be watching how things develop in terms of economically, we’ll watch at the very margin internationally if any of our clients seem to have a bit of relief in terms of the hectic level with which they pursue and vet projects today. We’ll also obviously watch the weather in North America, very easy to see. What’s most difficult for us is the way the incremental opportunities that we continue to have presented to us today and we’re not the only company out there to whom they’re presented, and to try to find and focus on those projects that we think are important to the client, that are very sustainable over a long period of time and therefore represent a wise investment from a return perspective for us over a multi year basis. And so those will more then anything else influence the degree and level of CapEx in 2009 for us. Ole Slorer - Morgan Stanley You mentioned $521 million of acquisitions, how much revenue was associated with that in this quarter?
Bernard Duroc-Danner : Very little because the only one that carries revenues is ILI so, and how much would it be, I don’t even know.
Andrew Becnel: About $20 million this quarter.
Bernard Duroc-Danner : The rest you had rigs, bought rigs from distressed owners and there was technology. In both cases we continuously buy technology, there is no timing for technology, whenever it’s available. There may be times we buy nothing.
Ole Slorer - Morgan Stanley: So $20 million was the non-organic part of the revenue?
Andrew Becnel: Correct, yes.
Operator: Your next question comes from the line of Jim Crandell – Barclay’s Capital
Jim Crandell – Barclay’s Capital: If we drop 400 to 500 rigs in the US over the next two to three quarters, what type of incremental margins do you think would be associated with that?
Andrew Becnel: An average rig count for 2009, 400 to 500 rigs down?
Jim Crandell – Barclay’s Capital: Let’s say if we drop 100 by the end of the year or by the holidays and then another 300 to 400 by June, what would you think would be the trend of incremental margins over that time period?
Andrew Becnel: Obviously margins will deteriorate. If I think of full year 2009 with 400 rigs dropping out that probably costs you about $600 million top line and then I think you’re looking at margin compression from this quarter’s levels somewhere around 400 to 450 basis points.
Jim Crandell – Barclay’s Capital: If you were to cut CapEx down to $1.5 billion would this affect your rollout of new technology in LWD and rotary steerables? I know it’s a big year for you in terms of new tool introductions.
Bernard Duroc-Danner : It would not in 2009. It would have actually essentially no bearing to 2009. It should have a bearing on 2010. What I don’t know yet is how much can we optimize utilization of the equipment we put out there in 2008 and then 2009. In a lot of locations internationally we seeded the location with equipment, we got contracts and so we can start making a return. The equipment is not as highly utilized as it will be and it was going to get more and more utilized over a period of time. Perhaps we can accelerate that. Of course we can pull some equipment out of North America which is also obvious. So all in all if we end at $1.5 billion as opposed to $2 which is the range we’re looking at of course it will affect 2010. I don’t know by how much, I’m not equipped to know now. I don’t think it will be as material as perhaps one might think. We’d like to have a few more months to work on this but my guess right now is that the growth in 2010 will still be very stout.
Jim Crandell – Barclay’s Capital: In terms of both wire line and LWD, not in terms of numbers of tools, but in terms of percentage of services offered, where do you think you would compare by the end of 2009 to the larger companies in that in terms of what you offer versus what they offer in terms of measurements?
Bernard Duroc-Danner : We never have enough but I would think that in both cases we the same situation whether on the compact line or whether on the revolution line or whether on the precision line, you have a basic technology which after 10 years of being developed has been in many respects one of the best technologies available in the industry but in lacking the full suite of measurements. So very good, possibly the best but incomplete. That process of making it complete has been going on now for three years since we bought Precision and by the end of 2009 we’ll be as close to complete in terms of finishing all the add-on and measurements as you could have us.
Jim Crandell – Barclay’s Capital: Some people think that the independent sector in certain international markets could be vulnerable to cut backs in spending, in particular in the North Sea, Russia and in West Africa, how much of your business is driven by independents and would you concur that these are the most likely companies to delay projects in 2009?
Bernard Duroc-Danner : I hate to categorize the whole percentage of, segment of our clients as being less reliable. There are a great deal of differences from one independent to the next. It is true though that on average in down cycles the independents are more vulnerable then the NOC or the IOC. That’s certainly true. I would single out probably Sub-Saharan, Africa. I would single out the UK, North Sea as being more subject to possible weakness because of the independents. Russia is a different kettle of fish, its not an independent issue. Those are the two areas that I would single out. As to how much business do we do with the independents internationally, I would say approximately 20% of our business internationally is the independents although there again one has to be careful as to what is the definition of independent versus IOC. Some independents we classify as IOC because of size.
Jim Crandell – Barclay’s Capital: Would you expect to see at this point delays coming out of Brazil in their drilling program versus what you would have thought three months ago?
Bernard Duroc-Danner : Offshore most definitely. I think on land its fine. Offshore most definitely. As it was offshore Brazil was going to be a long-term play and what I mean by that is that you have to wait a long time. Now it’s become a very long-term play insofar as it’s hard for them to get equipment they need any time soon. What I mean is comprehensive fleet they need. So it’s a very interesting thing particularly obviously for Brazil. It’s very interesting for us too as a country play. But the timeframe has got to be a little bit academic for you.
Operator: Your next question comes from the line of Charles Minervino - Goldman Sachs
Charles Minervino - Goldman Sachs: In your comments you mentioned that costs were abating, but you still expect international pricing to be strong, can you just talk us through that a bit more. Do you not anticipate that you’ll get pushback from customers here on pricing if costs continue to decline?
Bernard Duroc-Danner : Of course, sometimes in prepared comments the time period isn’t clear. I was referring to where we are right now, today. I was reporting of on trailing if you will 60 to 90 days. We’ve seen the cost curve flattening, declining, on the material side and then flattening on the labor side both international and NAM. Until either labor costs curve is going to decline in NAM for obvious reasons. But we also see the labor costs curve gently declining internationally for entirely different reasons which I can explain. The material side I think you understand, that’s clear. I was reporting on that and then I was also reporting on the pricing side which is not much to say on pricing in NAM, obviously on a forward looking basis, pricing in NAM will not be so strong. And on the international side I was saying that pricing has been strong, the things that we booked over the past three months have been on average at higher pricing regardless of the parts or the service. There are differences depending on the product line and the location but it was higher pricing. Now forward comments is a different thing. In an environment where the world economies are strained and the price of hydro carbon is down, albeit at a level which is still attractive but its down, obviously pricing power internationally is not going to be the same. I wouldn’t want to suggest that we are in a position, peers are in a position to be very aggressive on pricing internationally, no. I just think that it was strong. I would expect it to essentially be sustained now. NAM different kettle of fish. It was sustained. I suspect that the sort of pullback that we expected typically you see some pricing weakness in different segments.
Charles Minervino - Goldman Sachs: Your growth assumptions for next year can you give us some color do you have any pricing increases baked into that forward growth?
Bernard Duroc-Danner : The pricing is set and so in a way we’re adding our beans. As I mentioned before it was 80% to 120% which is rather typical meaning that 80% was highly reliable and 100% was what’s booked. How much we will slip, in a way if nothing slips we’d have an even stronger year in 2009 then you anticipated three months ago when there was none of this credit crisis problem. Then again things do slip. But all of these businesses, whether product sales or service contracts or combined things in a bundled way all have set pricing. They’re not going to have any escalation over the year but they’re set so we’re adding both volume and pricing when we account for our projected revenues.
Operator: Your next question comes from the line of Michael Urban - Deutsche Bank Securities
Michael Urban - Deutsche Bank Securities : Obviously most of the CapEx cuts we’ve seen so far have come out of North America, you did have one notable exception to that in Russia with [VP CNK], you’ve been very optimistic on Russia, does that at all change or mute your outlook on that market?
Bernard Duroc-Danner : I was optimistic on Russia until the credit crisis started. I remain very constructive on Russia long-term for the reasons that you know which is there are very few countries that have the hydro carbon potential they have, end of story, whether oil or gas. Now that will never change. With respect to the very near term, given the level of taxation, royalties in Russia, unless that changes its clear that the cash flow of our clients is being squeezed in Russia so the prognosis on Russia is not as strong in 2009 as it was. Clearly. On the other hand if the powers that be change the royalty system in Russia which they are likely to, but not my decision, then I think the cash flow of our clients will not be [pinched] and I think things are possible. All in all, I remain very constructive on Russia long-term, you’d have to be in my business. For 2009 I’m cautious, what we’re planning for are things that we feel are very reliable in terms of the need for the client to execute. We don’t plan anything more then that.
Michael Urban - Deutsche Bank Securities : What would that imply for a growth rate for Russia just on the reliable backlog or bookings?
Bernard Duroc-Danner : Still very high I’m afraid. But then again we are coming from a small base so think 50% growth rate in Russia in 2009 for us. I know it sounds very high but we don’t have such a large base in Russia so you have to take that into consideration.
Operator: Your next question comes from the line of Brad Handler - Credit Suisse
Brad Handler - Credit Suisse : Can we come back to the acquisitions, I’m curious about a bit of your process. For example at what level is an acquisition need to be approved depending based on a given size, so where did, a number of things seemed to have popped up in the quarter and you were able to respond very quickly and close them, that sounds like its very decentralized as you are--?
Bernard Duroc-Danner : You’re absolutely right we favor decentralized management as in we favor regional management but that is for operations. And as also in terms of the influence of regions upon technological development. So on both counts we save a regional management on the basis that ultimately the business is local. That’s clear, but things like acquisitions are, first there are times where there’s a lot of things that are interesting, there are times when nothing is interesting. It really depends and decisions on acquisitions are actually completely centralized. It comes from operations, it is scanned by operations. It makes its way up to our where the few people in corporate, interactions of a region decide. There is no acquisition however small to think an acquisition of $0.50 million to $1 million all the way up to something large like ILI that gets done without senior management specifically authorizing it on its merits and in light of the overall capability, balance sheet of the company, etc.
Brad Handler - Credit Suisse : How much of what you acquired in the quarter had that flavor of this was an opportunity that didn’t exist earlier in the year as opposed to something that had been identified a while back?
Bernard Duroc-Danner : Pretty much all of it to different degrees. There were different sets of circumstances but across the board, all of it.
Andrew Becnel: Typically we have 20 to 25 acquisition candidates on the board at any time, very few of those make it through the process and get called out at different time periods. Most of them tend to have a shorter gestation period because we’re quite decisive on when we decide we want to get something and often times we’re successful in getting things done because we are capable of acting quickly and making decisions quickly. But some do have quite long gestation times.
Brad Handler - Credit Suisse : If we are just turning a corner with respect to credit here, would you expect that you’re just starting to see lots of opportunities?
Bernard Duroc-Danner : We are interested in specific things, whether its product lines or technology or assets. There’s on average about 20 or so things that are being put forth but at times none of them make it because they’re not that interesting because they fall outside of the three categories that are identified, things that we’re interested in, in terms of product lines, technology or assets. Serendipity to a great degree. There are weaknesses of sellers there’s also whether what’s crossing our path is of interest to us. Those two curves have got to cross. The first one determines the valuation, the second one determines whether we feel compelled to move. Acquisitions very much like CapEx. The question we ask is do we have a need to do this and the burden is on why should we do it. It’s a burden of proof because the initial reaction is that we should do what we absolutely have to do. So therefore it’s a heavy burden of proof. So you may find that there are cases where we’ll have quite a few acquisitions and small, you will find as you go back in time by quarters, we went through quarters upon quarters of not doing anything.
Operator: Your next question comes from the line of Robin Shoemaker - Citigroup
Robin Shoemaker - Citigroup: Just wanted to clarify when you spoke last quarter about the 40% growth rate in 2009 for international was that tied to what you had booked which we’re saying now some of it could slip in 2009 but was that the booked amount that gave you the 40% growth?
Bernard Duroc-Danner : Presumably the same thing I’m saying now which is that our assessment of growth rates is based on the amount of business we have booked in our best judgment and the situation today in terms of what we have booked is better then it was at the end of Q2 which is again to be expected. So therefore when we discerned that the international growth rate as whole might be closer to 40% which would be very similar to what it is this year, what we said then and what we’re saying now is again based on what business we have booked. With respect to the comment of things slipping I want to be very careful because, don’t let me be misunderstood, which might characterize the interpretation of what one says in a conference call. Business has not slipped, its not slipping. Business sometimes slips because clients are late. That happens all the time. I assure you that some business from 2007 has slipped into 2008, and some in 2008 has slipped into 2009. With respect to the credit markets, the GNP situation, I said it stands to reason to expect perhaps some business to slip from 2009 into 2010, maybe a bit more. That’s it. There’s no evidence of slipping anything. Its way too early and remember that habitually internationally business slips. It always does.
Robin Shoemaker - Citigroup: In terms of the 2009 business volume was there any 2009 CapEx that was expected to generate revenues in 2009 that would affect your forecast if you were to scale back CapEx?
Bernard Duroc-Danner : I should look at it again in great detail but I don’t think so. If it is, it’s got to be immaterial.
Robin Shoemaker - Citigroup: If you do generate $500 million of free cash flow in 2009 what, the most beneficial application you normally think of debt reduction or share repurchases, but do you have a plan for free cash flow on a reduced CapEx budget?
Bernard Duroc-Danner : No, I think it’s very difficult to have a plan for free cash flow then. The options are well known as to what you can do with it. You named the two most important and presumably would be one or the other but I’d rather just decide when we get there.
Operator: Your next question comes from the line of Analyst
Analyst: Talking about the CapEx in 2009 and possibility of that coming down significantly, have you thoughts about the relationship between CapEx and revenue growth changed?
Bernard Duroc-Danner : The comment I made that there are opportunities on utilization of equipment and/or moving of equipment, are related precisely to what you’re saying which is, we know depending on the product line the ratio of CapEx to revenue growth and of course once you add up all the product on the service lines you have a weighted average. But now that we’ve been growing the business, at a very steep rate we have quite a denominator of equipment and when you start focusing on the utilization of the equipment let alone the equipment you can pull out of North America, it strikes us that we may have the opportunity to improve the yield of CapEx on revenues quite a bit in 2010 based on what we’re spending in 2009. Also we’re less supply chain strained etc. and you do realize that all supply chains have been tremendously strained over the past 15 months. We should also do very well or at least better then we have done on the yield between CapEx expenditures and revenue growth. So the net answer is that this is a ratio that we hope to improve. That was the whole essence of my comment.
Analyst: Is that structural or is it just timing related and if you are able to raise utilization in 2010 do you go back to the old $0.75 to $0.80 of CapEx per dollar of revenue?
Bernard Duroc-Danner : I’d hate to give you a number but you just might. I don’t know yet. I don’t want to say yes you’re going to go from here to there and then you should bake that, I don’t know. What I do know is directionally it stands to reason when you look at the detail of what we have, region by region, just common sense, that we should be able to with the will to do it, and the drive to do it, we should be able to increase the yield of CapEx to revenues. Ditto on working capital. That’s a little bit of a different tact though.
Analyst: You characterized the status on Chicontepec as being where it not ahead of where you’d led us to expect, given the delays on the well site preparation, where are you in terms of actual well completions compared to the plan that [Tenex] had?
Andrew Becnel: The original expectation in the contract was for 249 wells to be drilled and completed during 2008, given that the contract was, the award was made and the contract was signed about six weeks late, that number has been a moving target and it is heavily reliant upon the pace at which sites are delivered. There are now five additional sites that will be delivered to us within the next week which is good. There have been four wells completed, only one of them was drilled according to the original plan, there were change orders on the other three for coring and for also adding additional feet down to the bottom of the well, about 100 meters each time which obviously stretches out the days. On average that extra work probably adds about eight days per well to the time required to drill it on top of what your base expectation would have been. So we’ll see, we’re optimistic about, it seems like the site delivery process is improving and we’re optimistic that that will continue to accelerate.
Analyst: The add-on you mentioned, the $100 million it sounds to me that that’s nearly 100% in house?
Bernard Duroc-Danner : It’s going to be 100%. It perforation and artificial list. We would not expect to have add-ons with more pass through.
Analyst: You referenced that this is the outlook unless we had a material further drop in oil prices, do you have any ballpark number in mind as to where things changed dramatically?
Bernard Duroc-Danner : Probably not any better then anyone else’s. When you see pricing drop by another $10 a barrel and stay there for something on the order of 10 weeks, that you’ll start getting some element of discomfort and it’ll have an affect.
Operator: Your next question comes from the line of Alan Laws - Merrill Lynch
Alan Laws - Merrill Lynch : On the cost inflation or even deflation, you mentioned a few times, looking at this currently with the trend and considering your 81-20 range that you gave, how much margin do you think is potentially available to protect or maintain or expand margins over the next year? Bernard Duroc-Danner I can’t answer that question. To begin with we don’t know, analytically, well enough where labor costs are going to go. Material side is a bit easier. We don’t know where the labor costs are going to go in part because we don’t know what is really going to happen NAM, we have expectations, they’re not reality. With respect to international what you have is you’ve got a gradual change in the gene mix as it were insofar as the non OECD personnel as a percentage of the whole is gaining on the OECD personnel. The difference between the two being essentially non OECD is much cheaper, also more available. So you map it out and say over a period of time even though my training expenses are up a lot, they’ve been up a lot throughout 2007 and 2008 this year we increased our training cost tremendously but that’s done. So now you sort of, in the backend you benefit from a change in the mix of personnel you have an their related costs. So that you can map. The NAM side you can’t as I explained, pure speculation. Materials of course is a moving target insofar, it depends on the commodity [inaudible] for not only crude oil but base metals and so forth. The other phenomenon you have to watch is how long does it take for the inventory cycle of your suppliers to actually deliver the lower price to you. Some are quick some are not. What can you do about it, which brings up the whole issue of how you manage the supply chain. So if you put all of that together, you could spend most of our time trying to make sure that there is to the bottom line a lowering of our cost structure. Not sure we are able quite yet to give you a sense as to how much it could generate as a counter hedge as it were except that I suspect that over the next five quarters, Q4 through 2009, its material.
Alan Laws - Merrill Lynch : Your point is more that the costs are stopped climbing essentially?
Bernard Duroc-Danner : They have and there is an unwinding of the cost side, both labor and materials and it strikes me as being important, it’s a hedge, can’t quantify it although it’s taking a lot of our time managing our supply chain to take advantage of it.
Alan Laws - Merrill Lynch : Isn’t this more of this slippage that you’re talking about, isn’t it more then this in context of a potential global recession? Isn’t slippage more then that?
Bernard Duroc-Danner : You mean will there be a contraction of the international market late in 2009?
Alan Laws - Merrill Lynch : Yes, I know we all have longer term views that are bullish, but what could be the longest period of time that you would think a slowdown could last before we’d be so far behind the curve that we could never catch up?
Bernard Duroc-Danner : I think we are behind the curve already but setting these academic views aside, a slowdown internationally, let’s just theoretically think in terms of activity moving down, at least not moving up the way we’ve planned so projects are delayed, deferred, tabled, shelved, whatever, I would be very hard pressed and I will count this particular quarter as part of that time to see us slowing down internationally for more than 18 months. In terms of what it does, the ability to sustain production rates let alone grow them. I take a dark view of the ability for reservoirs in general to increase production rates beyond the press releases and anything else.
Operator: Your final question comes from the line of Pierre Conner – Capital One Southcoast
Pierre Conner – Capital One Southcoast: So for your CapEx plans for 2009 what should we think about for your supply chain timing on CapEx? I think peers have talked about this being three months to nine months?
Bernard Duroc-Danner : Shorter.
Pierre Conner – Capital One Southcoast: Is there a little difference in terms of what you have?
Bernard Duroc-Danner : Shorter, actually it was one of the reasons why we mentioned that we couldn’t make decisions on CapEx. We’re monitoring it; we’re making decisions with a very quick response time. It has to do with the fact that predictably in this environment supply chain is much easier to manage and response times are fast. In simple terms if response time were at best nine months plus, on supply chains, now they’ve become three to six and they’re moving toward three. Many of our suppliers now are, and this is obvious by the week, very anxious to be flexible, etc. so I think we’re moving towards a highly desirable three month for response time. Not there yet, but we’ve moving in that direction.
Pierre Conner – Capital One Southcoast: You didn’t give us any updates on non operational but on the R&D side, larger in the quarter and then maybe on a go forward basis what kind of variability is in that number?
Andrew Becnel: We should run at about 200 for this year and looking at something like 220 next year. We just happen to have quite a volume of projects especially around LWD and wire line side that rolled through this quarter.
Pierre Conner – Capital One Southcoast: And as far as that number in 2009, is there any desire to effect it or that’s pretty well--?
Bernard Duroc-Danner : No, I think this is really for the long-term for R&D. We don’t run it on a short-term basis.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Bernard Duroc-Danner : Thank you all very much for your attention.